Operator: Welcome to the Newmont First Quarter Earnings Release Conference Call and thank you for standing by.  At this time, all participants will be on a listen-only mode until the question-and-answer segment of today's conference.  Operator's Instructions Today's conference is being recorded.  If you have any objections, you may disconnect.  I would now like to turn the meeting over to Mr. Randy Engel, Head of Investor Relations.  Thank you sir, you may begin.
Randy Engel: Thank you, operator.  Good afternoon, and welcome to Newmont's First Quarter 2006 Earnings Conference Call.  Please note this call and presentation are being simulcast on our website at www.newmont.com and will be available for playback for a limited time.  On today's call, we have Wayne Murdy, our Chairman and Chief Executive Officer, Pierre Lassonde, our President and Dick O'Brien, our Senior Vice President and Chief Financial Officer. Today, Wayne will review our first quarter operating highlights, and Dick will provide the details on our financial and operating results.  We'll also cover our new project pipeline.  Pierre will review merchant banking, and give us his thoughts on the gold market, and Wayne will conclude with a few remarks about our outlook for the remainder of the year, and about the market in general. Also available for questions on the call today are Bruce Hansen, our Senior Vice President of Operations, Services and Development, Tom Enos, our Senior Vice President of Operations, and Russell Ball, our Vice President and Controller.  As we will be discussing forward-looking information, you should be aware that there are risks unique to our industry which are described in detail in our filings with the SEC.  So with that, let me turn it over to Wayne to begin the call.
Wayne Murdy: Thank you, Randy.  With income from continuing operations of $213 million or $0.48 a share, and net income of $209 million, Newmont had a good first quarter.  Consolidated gold sales of 1.8 million ounces and costs applicable to sales of $275 per ounce, were right on target and an average realized price for the quarter was $555 per ounce.  These results reflect strong margin and earnings growth, as we've benefited from the higher realized gold price and are focused on cost-containment.  The gold price is currently over $600 per ounce.  We expect to see our margins continue to expand. During the first quarter, we also continued to grow our project pipeline, adding about 3.6 million ounces to reserves, through our acquisitions of additional interests in our Akyem project in Ghana, and the Boddington project in Australia.  Our balance sheet remains very strong.  Very strong, with cash and cash equivalents, short-term marketable securities and other short-term investments of $1.5 billion.  Let me now turn it over to Richard for details on our financial and operating results.
Richard O'Brien: Thanks Wayne.  Revenues for the first quarter were 1.15 billion on consolidated gold sales of 1.84 million ounces with, as Wayne said, an average realized gold price of $555 per ounce.  This compares to revenues for the prior year quarter of 945 million, on consolidated gold sales of 1.87 million ounces at an average realized gold price of $425 per ounce.  Income from continuing operations for the quarter was 213 million or $0.48 a share, compared with 85 million or $0.19 per share for the year ago quarter. Wayne said costs applicable to sales for the first quarter of 2006 were within our target of $275 per ounce, up 16% from the year ago quarter when costs applicable to sales were $237 an ounce.  The increase is due to lower volumes, higher commodity and energy costs, higher royalties and production taxes, and changes in accounting.  However, with gold prices rising more quickly in this quarter than energy prices, our gross margin realized price minus cost applicable to sales is $280 per ounce, and approximately 50% improvement over the $188 gross margin per ounce in the first quarter of last year. Looking at the next slide, we can see that two items in the first quarter had the effect of increasing income from continuing operations by $46 million or $0.11 per share.  Tax estimate revisions in Australia, reflected on this slide, relate to the company's election in the first quarter to utilize the U.S. dollar functional currency for our Australian tax purposes.  The translation of the Australian property, plant and equipment for booked tax purposes increased the deferred tax assets by $48 million in the quarter, resulting in a deferred tax benefit.  We also generated net cash from continuing operations in the quarter of 240 million, and that's after a $164 million increase in working capital. Turning now to operating results in Nevada.  First quarter gold sales declined by 9% from the year ago quarter, primarily as a result of a 14% decrease in mill ore grade and a 5% decrease in mill throughput.  Mill ore grades were lower as a result of mining lower grades at our Midas and Deep Post underground mines, mill throughput was also affected by weather and 14 days of unplanned maintenance on one of the ball mills at Mill 5. Costs applicable to sales in Nevada increased 28% from the prior year quarter, as a result of the lower production and increased labor, diesel, cyanide, and underground contract service costs.  As a heads up in the second quarter we will be taking Mill 6 down for approximately 22 days for scheduled annual maintenance.  That will result in temporarily higher costs applicable to sales in the second quarter. Also, while not in Nevada, in North America, just to note as we put forth in the earnings release, we have put Holloway on care and maintenance at the end of April.  Shifting to Peru, Yanacocha's had an outstanding quarter and sold 770,000 consolidated ounces in the quarter at costs applicable to sales of $161 per ounce. Gold sales remain constant from year ago quarter, as a 25% increase in ore grade and a 19% increase in tons of ore placed on the leach pads were offset by the timing of flows from the leach pads.  Costs applicable to sales for the first quarter increased 13% per ounce as a result of higher tons mine, offset by increased consumption of commodities and higher labor costs. For the year, we expect Yanacocha to produce between 1.33 and 1.345 million ounces, at costs applicable to sales of $185 to $195 per ounce.  In Australia and New Zealand, consolidated gold sales decreased 24% in the first quarter 2006, primarily as a result of lower grades at Jundee, Kalgoorlie, and Martha, combined with lower throughput at Tanami and Pajingo, again compared to the first quarter of last year. Costs applicable to sales increased 27%, primarily as a result of lower production.  At Batu Hijau, first quarter copper sales decreased 19% from year ago quarter due to harder ore, resulting in fewer tons processed as well as an increase in concentrate inventories at the end of the quarter. Consolidated gold sales decreased 3%, as the lower mill tons processed and higher concentrate inventories were offset by a 26% increase in gold grade mill.  Costs applicable to sales per pound of copper increased 14%, due largely to decrease production.  Batu Hijau has revised its mining plan to address the geotechnical instability in the operations in its pit wall that we disclosed in our 8-K on March 23rd.  Based on the new plan, consolidated sales for 2006 are now expected to be approximately 475 million pounds of copper, at costs applicable to sales of $0.60 to $0.65 per pound, and 460,000 ounces of gold at costs applicable to sales of approximately $160 per ounce.  This is in line with our earlier disclosure in the 8-K. Turning now to project development, our Phoenix project in Nevada is ahead of schedule and ramping up to full production, and we produced our first gold from Phoenix in March.  Steady-state operations at the Phoenix project is expected to produce approximately 350,000 ounces of gold annually. The Leeville project in Nevada is now approximately 89% complete.  We expect to achieve 2,100 tons per day production by the end of this year.  At steady-state operations we expect Leeville to produce approximately 400,000 ounces of gold annually.  Also in Nevada, we are continuing construction of our 200MW power plant for the completion in 2008. In Ghana, our Ahafo project is 95% complete.  We're currently stockpiling ore for the process start-up in June, and the project is on schedule to deliver initial gold production around mid year. At our second Ghanaian project, Akyem, we are waiting approval of our Environmental Impact Statement.  We will commence construction upon approval, and at that time we will provide more detailed estimates of project, capital and timing.  We also approved development of the Boddington project in Australia.  We expect to begin construction in the second half of 2006 for initial gold production in late 2008 or early 2009. At steady-state operations, we expect Boddington to produce approximately 650,000 annual equity ounces.  Now let me turn it over to Pierre to talk about merchant banking and the gold prices.
Pierre Lassonde: Thanks, Richard and good afternoon, everyone.  We will start with the merchant banking -- the royalty portfolio did extremely well in the first quarter.  Royalty and dividend income were up at 29 million for the quarter, up 62% from a year ago quarter.  The equity portfolio itself grew by 260 million to 1.2 billion from our year-end value of 940 million.  We currently have an unrealized pretax capital gains in the portfolio of close to ¾ of the billion dollars.  Most of that, as you probably know comes from our interest in the Canadian Oil Sands Trust, and the value of that trust has more than quadrupled since we have made our initial investment, not 2 years ago. The dividend is going to ramp up rapidly going into this year, and will greatly offset future oil price increases.  In our own portfolio, our Black Gold property in Alberta, we concluded our third season of drilling last month, and we have also initiated a baseline Environmental Impact Statement that we will be completing this year.  To fully realize the value of that asset, which has grown quite a bit since we last talked to you, mostly because the infill season -- infill drilling has been very good to us.  We've engaged advisors to review the value realization alternatives for this asset, and we will keep you appraised as we have more news on that. I will turn now over to the gold market, because with prices where they are today, I know that quite a few of you wonder if this is the top.  And I'm here to tell you that it's not.  And I think that what we see here is a -- we've seen in the past three months almost an exponential increase in the gold price, and you can expect some comeback, but it's far from being the end.  In fact, what we've seen after the Easter holiday, the Indian markets has been very, very strong on the physical side -- good demand, at around the $600 level. And when we look at the world economy, it is exactly as we have said, it would be for the past 2 years.  China continues to motor along; this morning, they issued a release on metals output, refined copper output was up 26% in the first quarter of this year in China, aluminum output was up 18%; zinc output was up 15%; lead over 38%.  And all of this output is used internally in China to continue to propel this economy. Last week I was in Dubai; there are 70 towers going up in Dubai at the rate of one floor a week, and all that material -- steel, copper is all coming from China in exchange for oil.  And what you see throughout the Middle East and throughout the Far East is the continuing growth of the underlying economies and infrastructure that is devouring more and more metals.  And also, with wealth comes increased investment in gold.  And what we see in the gold market is that the gold ETF is now in total close to $9 billion, and that is from 16 months ago essentially zero.  And when we add the commodity funds that have been created in the past 1.5 to 2 years, the commodity funds 2 years ago did not even make a $10 billion mark.  By the end of that last year they were 90 billion, and it's projected by the end of this year that commodity funds will be in the 130 to $140 billion mark, of which approximately 3% is gold, another 2.6 to 3% is copper, and so on.  And these commodity funds along with the ETF are a new way for big pension funds to play the asset class of commodities and gold in particular.  That did not exist 20 years ago.  And this is what, in great part is motoring the gold price and when we look at where we are today, I think that we all know that Spring, particularly April/May is the low season -- seasonality of the gold price, with gold at $600 in the spring time, we feel very, very good that by year-end we're going to have higher prices.  And personally, I would not be surprised that over the next 18 months that we challenge the old highs of 1980. And with that, I will turn over the microphone to Wayne for closing remarks.
Wayne Murdy: Thank you, Pierre.  In closing, we recognize that gold markets expect gold equities to provide leveraged exposure to the rising gold prices.  And if you look on page 8 of the press release you see our guidance for the year 2006.  To provide gold price leverage, we must control costs.  The slide up on the website now, it shows the difference, if you will, between last year's costs applicable to sales $239, and kind of the midpoint of our -- the range that we've provided for 2006 guidance. As this slide shows, over half of our expected costs increases this year result from higher labor, energy and consumable prices, with the remainder coming from accounting changes and planned lower grades in our mine plants.  The same pressures drove the 2005 industry median costs up $274 per ounce, which was just released in the gold field study, well above our $205 actual operating cost per ounce. As we mentioned earlier on the call, we've undertaken a number of measures focused on cost control, including the development of our lower-cost project pipeline, our investments in a new mining fleet in Nevada which translates to lower maintenance costs and of course as was mentioned earlier, the construction of a new power plant -- coal-fired power plant in Nevada that we expect will generate electricity at $0.03 to $0.035 per kilowatt-hour.  The majority of electricity that we are currently purchasing in Nevada is costing us about $0.10 a kilowatt-hour.  So you can see there's tremendous savings and tremendous economics driving that project.  We don't know what the market rate for electricity will be in 2008, we expect to bring this plant on in about the middle of 2008.  But based on today's numbers that would translate to $20 to $25 per ounce reduction in our cash costs in Nevada. Gold price now trading over $600 per ounce, the market is again looking for us to deliver substantial market expansion.  This next chart -- webcast chart shows, for the first quarter of 2006, we generated $280 per ounce cash operating margin, as compared with $202 for the year 2005, a 40% increase. For the first quarter this year we realized, as we have said, an average gold price of $555 per ounce.  If you go back and look at the $264 per ounce that was realized in the first quarter of 2001, you'd see how dramatically the market has moved.  In the last five years, the gold price has grown 110%, whereas our cash operating margin per ounce has grown by 250%.  That's the leverage that we provide.  If gold prices would hold at current levels, we could expect to see cash operating margins of well over $300 per ounce for this year, based on our cost guidance. Although we recognize that our margin growth stalled starting in the fourth quarter of 2004 and through the third quarter of 2005, we now believe that we are well-positioned to deliver substantial margin expansion in 2006 and beyond.  That concludes our prepared remarks on today's call, and we would be very pleased now to open the call for questions from the investment community.
Operator: Thank you.  At this time we are ready to begin the question-and-answer segment.  Operator instructions Thank you, our first question comes from Michael Dudas with Bear Stearns.
Michael Dudas: Good afternoon, gentlemen.
Wayne Murdy: Well, Michael.
Michael Dudas: My first question is regarding -- you mentioned lower ore grades this quarter; could you give us a sense -- Wayne or someone about how that might plan out in your mine plants going into 2007, and taking into effect the ramp up you are projecting at Leeville, Phoenix and in Ghana?  How much of an impact that might have on realized costs?
Wayne Murdy: Well, I think as we look forward -- and that's what makes the project pipeline so attractive to us is we're getting into projects that have much better grades than where we stand right now.  So, Phoenix coming up the second half of this year and Ghana -- Ghana we're looking at average grades approaching 5 grams a ton.
A: I think it's closer to about 2 grams in Ghana and about 1.3 grams at Phoenix but these are new facilities, brand-new mills, high-throughput facilities and that will help us from a cost perspective.
Michael Dudas: My second question is regarding your thoughts about what's happening with some of the politics in Latin America, primarily Peru and how Newmont view that relative to further investment going forward.
A: I think, Michael, we've got to see how that the election in Peru plays out.  Of course, we are in that season of the -- and that portion of the process where there's a lot of rhetoric.  I think we are seeing in a number of parts of the world where you see government asking for or populist governments asking for a bigger piece of the pie, whether it's the oil industry or copper, base metals or any of the commodities.  And I think that's something that we've tended to see over the years.  But I think that, you know, when you look at Peru, they've got a long history of strong mining legislation and while there is a lot -- there has been some Populist rhetoric, I think we need to see how that plays out.  So, we have no strong views at this time that change our investment outlook.
Michael Dudas: I have two more questions.  First, looking at capital expenditures, your budget this year and what you might plan going forward, how much can you attribute higher commodity throughput prices, contractor lead-time issues, has impacted your capital budgets, say maybe in '05, '06, and possibly in '07?  Can you give me a ballpark percentage someone?
Bruce Hansen: Mike, this is Bruce.  It's hard to estimate, because I mean you know we are starting projects at different phases as we go through time here.  You know, so we can do some research and maybe get back to you, but we don't have any clear number on that.
Russell Ball: Mike, just one thing to remember in the guidance we put out this morning, there is about 200 million of that is capital expenditure related to the power plant in Nevada that we discussed earlier, and 50 million of the increase over the previous guidance was related to our step up in interest for the additional 2 mines in Boddington, so keep that in mind.
Michael Dudas: Duly noted, Russell.  Thank you.  My final question is for Pierre.  Pierre, how much do you think in the recent gold price movement is geopolitical factors involved?
Pierre Lassonde: Mike, that's a very difficult question.  But certainly, some of it -- whether it's $20 or $40, I don't know, it's hard to say.  What we do see, though, is -- we do see more gold flowing into Iran.  Obviously, the wealthy people there are worried themselves, because we see a very good flow of physical bullion into Dubai and then out to Iran.  But how that affects the broader market, I don't know.  I still think that in the 80/20 world that the currency, and particularly, the worry about the U.S. dollar and the current account deficit plays a much, much bigger role in the gold price than Iran at this point.
Michael Dudas: Thank you gentlemen for your time.
Operator: Thank you, our next question comes from Patrick Chidley with BJM.
Patrick Chidley: Hi gentlemen, just a couple of questions on really what's new projects you're developing that might be the next step in terms of progress at Conga and at Martabe and Elang and particularly in relation to some of the political problems there in those two countries in Indonesia and Peru.
A: In regard to Martabe, I mean we are going through a process at the current time, looking to sell that asset.  And we've got a significant degree of interest in the asset.  It's just an asset that is a bit too small and really doesn't fit our portfolio.  In regard to Elang, we are evaluating the resource there.  It is a large, low-grade copper/gold resource, about 70 kilometers away from Batu Hijau.  We're doing quite a bit of work looking at different kinds of mining and processing scenarios, but it's still early days in regard to Elang.  Conga is more advanced.  You know, we're basically in an updated feasibility study stage there.  Clearly, also looking at the political environment in Peru and continuing to work with the local communities and politicians in the area, feel comfortable about the investment over time.
Patrick Chidley: And then, are there other projects in the Newmont portfolio, maybe in the mineralized material that you think might at least kind of (multiple speakers) margins --?
Wayne Murdy: Quite frankly, we have a very interesting and exciting pipeline of early-stage projects that we are evaluating.  Again, they are relatively early-stage.  We're looking at, does it make sense to expand our production and/or look underground at Ahafo.  We are looking at oxide copper leach project in conjunction with the Phoenix development, and a number of other projects that are moving along, but they are relatively early stages.
Patrick Chidley: All right, thanks guys.
Operator: Thank you, our next question comes from John Tumazos with Prudential.
John Tumazos: Congratulations on all the great performance.  It's amazing how much the gold price has gone up without your stock going up as much, and --
Pierre Lassonde: With that, we agree with you, John.
John Tumazos: The Contango, I guess is running over $3.0 an ounce a month now, and I actually ran numbers wondering whether a private capital firm like Kohlberg or someone like that could hedge 4 or 5 million ounces of your output and that will be of Newmont.  And I excuse me for mentioning that evil, obscene word 'hedge'.  And you know, there are people in the world who love to hedge and some of them still have public companies and could average up their hedge books from 300 to 600 if they did the LBO on Newmont.  Do you think -- do you think it's necessary to protect your publicly traded status by locking in 7, 8, $900 in the out years with Contango for a little bit of your output?
Pierre Lassonde: John, 7, $800 a year in the out years is going to look very --
John Tumazos: It could be $1,500 if you want to do 20-20 with this Contango.
Pierre Lassonde: John, Pierre.  I think $700 is going to look like some change in terms of gold price in a few years time.  I think anybody who does that today will look very foolish, just like the central banks today, who sold gold at 250 and 300 look very foolish.
John Tumazos: But doesn't it feel frustrating that gold has gone up $200 in the last nine quarters and your stock has gone up 10%?
Wayne Murdy: John, I think when you look at that, that's why -- if you want to see a close correlation, look at our margin expansion and look at the stock price performance, and you'll see a very close correlation.  And that's why we spent time talking about margin.  Clearly, in the period 2002, 3 and 4 up until the fourth quarter, we had very strong growth in our margin and very strong stock performance.  Then we went through an extended period of time, now over a year -- five quarters where the margin did not grow at as faster rate as the gold price increased, and our performance clearly lagged.  And I think our view now is, with the increasing margin I would say this is the right time to get in and take advantage of that lagged period, but I think I'm hate to say things like that.
Randy Engel: John, its Randy.  We've taken a look at that on the wider market index, the XAU and you find the same correlation there, that Wayne just mentioned, between wider share prices and the margin.  So, that's really where our messaging is obviously focused.
John Tumazos: Do you think the market is penalizing you for spending almost 200 million on exploration?
Wayne Murdy: I don't think -- I think the market penalized us because we missed our production estimates last year, more than anything else.
John Tumazos: Thank you.
Operator: Thank you, our next question will come from John Hill with Citigroup.
John Hill: Great, good afternoon everyone and congratulations on all the hard work.  A little bit more project-focused question; I was just wondering if you could fill us in on some of the particulars on Phoenix.  That's a project that has been around a long time, it certainly frustrated companies with less mettle, so to speak, than your own, in different points in time.  Can you tell us a little bit about recoveries, reconciliations, and copper separation?
Bruce Hansen: Well, I mean John, it started up in March and again it's ahead of its ramp up curve from a throughput perspective.  You know, it's had a fairly decent commissioning but it has ups and downs.  And we really haven't got into enough of a history to really reconcile and do the mass balances and the metal balances to really have a good sense there.  You know, it's going to take some tweaking from a recovery throughput standpoint.  As you are aware, it's a mill that has a gravity circuit, followed by floatation and CIL, and so you have three different kinds of recovery processes there, and it's going to continue to have to be tweaked and line balanced.  Our basic plan is, you know, for it to run at about a rate of 35,000 tons per day.  Recoveries, because of those circuits are anticipated to be in the kind of 80 to 85% range, rather than your typical 90% straight CIL-type circuit.  But, we've got a hell of a good team there and a lot of good metallurgists, and we have a lot of confidence in the process and a lot of confidence in the mill and the ore body.
John Hill: Great, thanks for that Bruce.  And then just very quickly, Pierre, I was interested in your comments on fabrication demand.  We saw that come in pretty hard about 18% in Q4, and there are certainly those out there that believe that fabrication has taken a further pretty heavy dent from the escalating gold price.  You guys are obviously very close to the market from your fabricating work and your travel -- I'm sorry, your refinery work and your travels.  I'm just curious, it sounds like you have confidence in fabrication.  And I was wondering if you could share your thoughts on that in a 600 world.
Pierre Lassonde: Yes, certainly John.  In terms of fabrication, the market that is being the most impacted is the Italian market.  The manufacturers in Italy are actually short gold since about $400, and they are hurting.  And they could have some major difficulty going forward.  But the market in the Middle East and India in particular, and China, continues to roar along at anywhere from 12% to 15% growth.  And that's because their currencies are doing better, their inflation rates are higher, so from the standpoint of buying the gold today, they look at it as an investment.  And the fact that the gold price has crested over 600 makes it even more appealing than ever before.  So, those are the markets that are continuing to motoring along.  But, in part, you know, the fabrication market will shrink, I think, this year compared to the bullion market.  The bullion market is taking a bigger piece of the market, mostly because of all the new financial instruments that are being developed and used by the pension funds and by the family offices and what not.
John Hill: Great, thanks for that.
Operator: Thank you, our next question comes from Victor Flores with HSBC.
Victor Flores: Yes, thanks, good afternoon.  I was hoping you could give us a bit of color on how you see the year involving at Yanacocha.  You had a really good first quarter, but the guidance for the year is still stuck at about 2.6 million ounces, which means that either we're going to have three much lower quarters the rest of the year or perhaps some kind of ramp down.  I was hoping you could give us a bit of sense of how production will evolve this year.
Wayne Murdy: Go-ahead.
Russell Ball: Victor, Russ here.  As you saw, we did have a strong quarter at Yanacocha.  What we see is the grade declining over the year, and the strip ratio increasing.  We have added some capital in addition to the fleet.  But we will see production come down towards the second half of the year.  We won't see that spike that we had traditionally seen at Yanacocha, with new leach pad and new ounces coming out in the third -- early into the fourth quarter.  So, don't look to history as an indication of the Yanacocha for this year.  We're comfortable with the guidance we put out, which is essentially flat -- I think it was up 13,000 equity ounces, so Yanacocha will not do what you have historically seen and you shouldn't be forecasting that in your models.
Victor Flores: Great, thanks.  And second question goes to Batu Hijau.  Could you give us an update on some of the geotechnical work that you've done there, revisions to the mine plant and what implications that might have?
Thomas Enos: Sure, this is Tom Enos.  Basically, Batu Hijau is a mine that is being mined in phases.  The current phase that we're mining is Phase 4.  Late last year, we identified a geotechnical issue in the east wall, and we have rescheduled the mine and moved a shovel up, and we are now unloading the bottom of Phase 4, if you will -- we are actually mining into Phase 5, and with that it did change the mine plan and the production plan for this year.  But again, it's material that we were going to mine anyway, it's just rephasing, rescheduling the mine.
Victor Flores: Okay, great; thank you very much.
Operator: Thank you, our next question comes from John Bridges with JP Morgan.
John Bridges: Good afternoon, everybody.  I was just trying to dig into the costs here.  Your costs have gone up.  You did give us some indication as to how much of that relates to the mining of subgrade material, and I just wonder if you could break it about 50% you spoke of into accounting changes and how much was related to, effectively, the creation of ounces from nothing, from rock that wouldn't have produced reserves in the first place.
Wayne Murdy: I think, John, if we could go back to the -- we had that chart that really broke that down, on the webcast.  And I don't know if you saw that.
John Bridges: Sorry, I've not got the webcast up.
Wayne Murdy: Okay, if you could just pull that up a minute.
John Bridges: So, what percentages is related to those subgrade ounces?  I suppose you could really think of that cost as being related to the creation of reserves from nothing.
Wayne Murdy: The lower grade and the -- accounted for about a $12 change, year-over-year.
Randy Engel: John, it's Randy.  You've got about $12 out of $49, if you take our actual three -- probably 239 costs applicable to sales per ounce from last year, up to the midpoint of our guidance for this year.
John Bridges: So it's about a quarter of the costs increase is related to (Multiple Speakers) --
Randy Engel: It's about a quarter, exactly.  You've got about $5 in accounting change, and then the rest is made up of labor, electricity and consumables, which is going to be over 60%.
John Bridges: Okay, okay.  Great.  And on Kalgoorlie, you mentioned the underground there.  Presumably at these sort of Ausi dollar gold prices, then that stuff is now economic.
Wayne Murdy: It's starting to look interesting, and it warrants study, and so you are exactly right.  Again, that's not going to happen overnight.  But it is -- in this environment, we're looking at a lot of -- a lot of the kind of resource potential that we have around the company.  And there's suddenly lots of opportunities that we've known about for a long time, but couldn't clearly justify.
John Bridges: And you can keep Charlotte chugging along for some time, presumably, at these levels.
Wayne Murdy: Yes.  I mean, we have a project in Nevada, very large project, that we've known about for 25 years -- the Midas deposit that suddenly is getting some renewed interest plus enable to go in and look at it with today's technology.  I know, we hadn't put a hole on that for probably 15 years -- going back in today and using today's assay techniques and technology.  Things like that are very attractive.  And that's the value of the land position that Newmont has.  It's always hard to put your finger on it until you get into times like this, because we know there's real value there.
John Bridges: I was also intrigued by the oxide copper idea at Phoenix.  What do you think the probability of getting something on that up is?
Bruce Hansen: Well again, John, it's early days.  But you know we're doing a lot of metallurgical test work, the whole Phoenix area, if you remember, it was an old Duvall copper district; there's a lot of oxide copper resource there, a lot of it above the sulfide resource, and you know we are taking a very hard look at it.  And we will keep you posted on it.
John Bridges: Well presumably, you've got everything there, but this SXEW plant, so you ought to go to make it happen quickly if --
Bruce Hansen: Yeah.
John Bridges: Okay, great.  Okay, thanks, guys.
Operator: Operator instructions Our next question will come from Michael Fowler with Desjardins Securities.
Michael Fowler: Yes, good afternoon.  A couple of quick questions.  Perhaps you can give us some idea of the ground conditions that you have seen at Leeville, and perhaps also could you comment on the Deep Post ground conditions?
Wayne Murdy: The ground conditions at Deep Post and Leeville are very similar.  What we have discovered over time is that there is a way to mine these deposits underground and do them very effectively, and it's by having very experienced and trained miners and that are experienced with the ground conditions that exist in those two mines.  And we are currently in the process of moving our very experienced underground miners into Leeville from the other Carlin East deposit that it is just about mined out.  So really, things are going along as anticipated.  They are not good ground conditions from, you know, an underground mining perspective.  But we do have a good, trained work force there that are now proceeding and getting it done smoothly.
Michael Fowler: Okay, thanks.  Just on another question, is there any update on the SEC review that you're -- they are having?
Russell Ball: Mike, Russ.  We disclosed, as you've probably seen in the K and you will in this Q again, we are in a comment letter process with them.  We received a third comment letter on April 5th; we are busy responding to that.  Essentially issue is expiration accounting related to the purchase price acquisition from February '02.  We do not believe that the issues are significant.  Obviously, there is a large balance on the balance sheet.  We are very comfortable with our accounting and are working through the process of explaining that to the staff at the SEC.  So again, we are trying to expedite it from our end and respond as quickly as we can.  We have been receiving assistance from our auditors, PriceWaterhouseCoopers and also our independent valuation expert, on this one.  So we are very comfortable with our accounting and are helping the staff understand our logic and rationale behind that assigns fair value to those different segments.
Michael Fowler: Russ, just to follow-up on that, do you think that you would have to sort of reallocate some of the goodwill I guess, into property, plant and equipment, on your balance sheet?
Russell Ball: No, Mike, at this stage we're comfortable with our accounting.  Where this is going to end up we don't know.  Again, we have Waters' opinions, we have our evaluation experts that are also comfortable with our accounting, and it's really incumbent on us to work through our models and our logic and our rationale.  Because, we believe that each company is different, and some of the recent like what you've seen may not necessarily be applicable to Newmont.  Again, we are comfortable that the facts and circumstances in our particular situation are different from what the SEC staff may have seen recently, and really what we're going through, Mike, is trying to explain to them where we are and why we think our accounting is appropriate.
Michael Fowler: Okay, many thanks for that, Russ.
Operator: Thank you, our final question today comes from Chantal Gosselin with Haywood Securities.
Chantal Gosselin: Good afternoon.  A quick question regarding -- what's your philosophy on acquisitions, if you can give us some sense of it as well, what are your thoughts on the current market evaluation?
Wayne Murdy: Well, it's a question we often get.  And clearly now, Newmont has a history that when it seize an opportunity that ties in with our strategy, we're not afraid to step up and take that opportunity.  By the same token, we try to be very selective.  As we look at the market today, this industry is small enough that we can pretty much be updating our views on a continuous basis, and to the extent that they would -- we are in a period where we think that there may be some strategic fits out there.  There's always a pricing side of that equation.  So, if something is attractive that fits in with our strategy, and strategically a direction that we're going, we attempt to do that, to grow the company.  But we are very cognizant of the dilutive effect of many peoples acquisitions, and so we want to see something that has upside potential and has the ability to be accretive on a per-share basis.
Chantal Gosselin: Are you open to any stage of a mine life, like a development or exploration to already producing?
Wayne Murdy: Yes.  Now, when you are into production though, again as I said, we're looking for things that have upside.  So, you know, I think we have executed on transactions in all three of those phases.
Chantal Gosselin: Okay, thank you very much.
Operator: Thank you, sir.  That does conclude our Q&A session for today.